Operator: I'd like to remind everyone that today's call and webcast are being recorded. Please note that they are the property of the Apollo Commercial Real Estate Finance, Inc., and that any unauthorized broadcast in any form is strictly prohibited. Information about the audio replay of this call is available in our earnings press release. I'd also like to call your attention to the customary safe harbor disclosure in our press release regarding forward-looking statements. Today's conference call and webcast may include forward-looking statements and projections, and we ask that you refer to our recent filings with the SEC for important factors that could cause actual results to differ materially from these statements and projections. In addition, we will discuss certain non-GAAP measures on this call, which management believes are relevant to assessing the Company's financial performance and are reconciled to GAAP figures in our press release, which is available on the Investor section of our website. We do not undertake any obligation to update forward-looking statements or projections unless required by law. To obtain copies of latest SEC filings, please visit our website at www.apolloreit.com or call us at (212) 515-3200. At this time, I would like to turn the call over to the Company's Chief Executive Officer, Stuart Rothstein. Sir, you may begin.
Stuart Rothstein: Thank you and good morning, and thank you to those of us who are joining on the Apollo Commercial Real Estate Finance first quarter 2019 earnings call. As usual joining me in New York this morning are Scott Weiner and Jai Agarwal. Given that we recently spoke on our Q4 earnings call, I'm going to keep my prepared remarks brief and we can move to Q&A quickly following Jai's financial summary. The overall tender of the commercial real estate market generally remains positive. The continued growth in the economy combined with consistently low interest rate has created a favorable environment for real estate operating performance and ongoing real estate investment. Given the importance of continued real estate transaction activity in generating opportunities for ARI, we believe the combination of low interest rates and historically high levels of equity capital embedded within real estate funds and other investment vehicles should bode well for our business going forward. It is worth noting that the capital markets volatility evidenced in December, did lead to a slightly slower start to the real estate market overall in 2019, as equity investors and providers of credit took a somewhat cautious approach early in the New Year. However, given the rapid recovery in the capital markets and the record level of dry powder that needs to be invested, we have seen a notable increase in activity and are tracking a number of interesting opportunities in our pipeline. 2018 was a record year for ARI in terms of commitments and despite a pause in the overall market, we did closed four transactions in the first quarter and as planned funded capital into previous closed loans, the combination of which has created a portfolio of over $5.2 billion underwritten to generate what we believe are very attractive risk-adjusted returns. Importantly, our pipeline remains robust and we are well positioned to continue adding attractive investments to the portfolio. In addition, credit remains stable and we continue to see our borrowers achieve their business plans. At the end of last year, we looked at the repayments we received across the portfolio and in over 90% of the transactions as expected borrowers repaid the loans because properties achieve their business plans. Before I turn the call over to Jai, I wanted to highlight that during the quarter, we entered into a contract to sell the multifamily property and additional land collateral securing our loan in Williston, North Dakota. While there are no assurances that the sale will be consummated, we are confident that the outcome will be positive for ARI, and we expect to be able to provide additional detail on our Q2 earnings call. With that, I will turn the call over to Jai to review our financial results.
Jai Agarwal: Thank you, Stuart. For the first quarter of 2019, our operating earnings were $68.4 million or $0.50 per share and GAAP net income was $60.9 million or $0.43 per share. These numbers include $3.7 million or $0.03 per share in prepayment income. During the first quarter, we closed four loan transactions totaling $450 million and funded an additional $110 million for previously closed loans. As of quarter end, our portfolio had an amortized cost of $5.2 billion, which is a 28% increase over Q1 of last year. The portfolio is comprised of 69 loans with the weighted average all-in unlevered yield of 9.3% and a weighted average remaining term of just under three years. 93% of the loans in the portfolio had a floating interest rate. Lastly, with respect to financing, we increased our capacity under the Goldman Sachs facilities to $500 million, bringing our total capacity to $3.2 billion from five lenders. We also converted the remaining 5.5% notes and issued 2 million in common shares and as of quarter end, we had over $360 million of available capital in the form of cash and availability on our credit lines. And with that, we'd like to open the lines for questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from Steve DeLaney from JMP Securities. Your line is now open.
Steve DeLaney: Stuart, positive news, your remarks there, I couldn't write fast enough. Could you clarify exactly what is being sold? I knew there were some lots, there were also some single family detached houses, just like to have a little more clarity there. Thank you.
Stuart Rothstein: Yes, sure. So we've been, as I think you and most of those on the call know, we've been selling this - the 36 single-family homes as we've been able to vacate them. And at this point, we've sold roughly 90% of those homes and we expect to clean up the rest of that over the next couple of months away from that. The bulk of the collateral is really a 330 unit garden style multifamily complex and then a bunch of finished and unfinished lots in and around it. That package of the multi-family apartment building plus the unfinished lots is what I was referring to in my comments.
Steve DeLaney: So I want to clear whether the multifamily was - the main part of the multi-family was part of that, excellent. So, we look forward to that in the second quarter. Just curious, the first quarter had some nice unplanned revenue in terms of early prepayment fees, I know those can be easily predicted, but sort of setting aside prepayments, what percent of your $5 billion plus portfolio, should we expect might normally repay over the next 12 months, just for modeling purposes?
Stuart Rothstein: Yes, look, I think it's a bit of a guess. But I think the way we think about it is, right, the portfolio for as long as we've been doing this is typically had a base duration of call it 3 years, which would imply roughly a third turning over on an annual basis and I think the actual experience has tended to be somewhere in the 20% to 25% per annum, Steve. So while it's an inexact science, if I was - ballparking it, I would say it's roughly, call it 20%-ish a year is going to pay off. So we call it plus or minus $1 billion just thinking about it, high level.
Steve DeLaney: And some of that I assume is because you might sit down with borrower and do an extension, is that correct? So instead of being more like 30, 35 some of those loans that may have matured you might extend?
Stuart Rothstein: Yes look, we're always thinking proactively and there have been - a handful of situations where someone has achieved business plan and we're in discussions sooner rather than later, effectively trying to trade a little bit of spread because they've achieved business plan sooner in exchange for extension more call protection and I think that is, in many respects and some of you have heard me say this before. I think one of the reasons, there is an opportunity for us and our peers to continue to grow our platforms as I think borrowers in general appreciate the ability to talk to someone principal to principal and adjust on the fly as things - as things change with the underlying real estate. So definitely looking for opportunities to do that.
Operator: And our next question comes from Stephen Laws from Raymond James. Sir, your line is now open.
Stephen Laws: To follow up maybe a little bit on the prepayments just two specific ones, I wanted to ask about. It looks like maturities in July and September on two of your larger loans this year, I wish that’s a fully extend the maturity date in the deck. Can you maybe comment on those two loans? Do you expect those to extend? What kind of discussions you're currently having with those borrowers?
Stuart Rothstein: Yes, I would expect - I'm just looking at the deployment is the Miami loan, which we've talked to previously. That one has already started to amortize down. So if you looked year-end to the end of Q1, we've already started to receive some amortization in exchange from the borrower, in exchange for a little bit more time on their end and that trend has continued somewhat into the second quarter. I would expect on that loan in specific - specifically. We would continue to stay in the loan in some fashion with additional amortization of [indiscernible]. We will continue to delever our position and they will continue to put more equity in the transaction. And then the other one you referred to the September maturity, which is a London based condominium project, that's one where they sell units, we get delevered along the way. I would expect that, oh excuse me, I am confusing projects. Excuse me, this is one where they're actually in the market on their financing right now. They're actually getting traction for our construction loan. Our loan was a pre-development loan. As we do in most of our pre-development loans, we give ourselves an option to participate in the construction financing. And I would say, given what they've achieved on pre-leasing and given what we think the prospects are for the project, no guarantees, but I think there is at least a reasonable chance that our loan will get paid off, but we may stay associated with the project in some form as part of the construction financing.
Stephen Laws: Great, thanks for the color there, Stuart, and to think about originations, we saw a little bit of a shift in Q1. I think second half last year mainly saw senior loans originated, followed actually more mezz than senior I think in Q1. How do you see that playing out? Is that a trend that will continue or just kind of happened same based on what closed during the quarter? Can you maybe hit on that and then the second on and I'll drop off, but if we hold the current mix of senior and sub constant, what leverage level, Jai or you guys are comfortable operating on portfolio with?
Stuart Rothstein: Yes look, I think to use the phrasing from your question, I think the weighting toward mezz in Q1 were somewhat happenstance. Look, we're always open to either mezz or senior loan positions. So we continue to look at both. But if you actually looked at our pipeline today of what we're working on and what we think is likely to close sometime during the year, much more heavily weighted toward first mortgage opportunities than mezz opportunities and I think that is reflective of what is sort of interesting and what is available in the market today. And then, Jai, if you want to comment on --
Jai Agarwal: Sure yes, 1.5 times to 2 times is kind of what we're comfortable with as we said in the past and we continue to be comfortable at those levels despite being at 1.0 times today and for the last three or four years.
Stephen Laws: Thank, Jai. And one last question. I appreciate the disclosure around LIBOR sensitivity. Can you talk about LIBOR floors, were you able to put those in place in new deals and kind of how that discussion takes place with your borrowers? Thank you.
Stuart Rothstein: Yes. They're in deals. LIBOR floors tend to go up and down, given where sort of LIBOR is - and sort of what expectations for LIBOR are. I think if you looked at our portfolio today. The weighted average LIBOR floor is sort of on a dollar weighted basis roughly 1% and again some deals have lower LIBOR floors, some deals have higher LIBOR floors that there's definitely floors in every deal and I would say LIBOR floors - today roughly 2% for most deals that we're doing.
Operator: And our next question is going to come from Jade Ramani from KBW. Your line is now open.
Jade Ramani: And just on the North Dakota, you said we entered into a contract, and I was wondering if that ARI or if that KKR because I don't believe we foreclosed on the asset?
Stuart Rothstein: It's the Group that is affiliated with the asset there still in it. So, collectively we all needed to agree to the contract and is part of the sale, we all needed to execute documents and be part of the process.
Jade Ramani: And when you say you expect the favorable outcome for ARI, does that imply proceeds in excess of the - I think the site saw $32 million is you're carrying value?
Stuart Rothstein: One could infer that. Yes.
Jade Ramani: Could you give an update on the FAS and I just wanted to confirm that - that loan is on both the Lauren and the Clay Springs properties or is one of completely sold out of units at this point.
Stuart Rothstein: No, Lauren is gone. This is just Clay Springs and we're down to 11 units at this point.
Jai Agarwal: So Lauren has gone a long time ago, more than 18 months ago.
Stuart Rothstein: So we're just grinding.
Jade Ramani: And so, what's the - I guess current absorption pace on what do you anticipate for those remaining 11 units?
Stuart Rothstein: I think the optimistic view is that we could be out of those 11 units in nine to 12 months and we'll know a lot about that given the current selling season, which is sort of just kicked off and the pessimistic views it takes longer than nine to 12 months.
Jade Ramani: I guess, how many units did you have last quarter?
Stuart Rothstein: It's the project started at 50, I think, a year ago we had 25 units. So we've sold 14 in the last year most everything that’s happened in the first quarter of this year were really things that were signed up towards the end of the selling season last year. Because not a lot happens in the January through March timeframe. So that's sort of where we sit today, we've got 11 units sort of aggressively pushing them as we start the spring selling season.
Jade Ramani: In terms of the deal flow that you're seeing and your originations, have you seen a pickup in bridge-to-bridge financings where borrowers are underperforming on their business plans and there is a lot of debt fund capital at better terms in their existing loans. So that's a key trend. Could you give any indication as to what percentage of your originations those kinds of deals are?
Stuart Rothstein: I would say generally speaking, we're not seeing a lot of that Jade. I think the one place you are seeing pricing come in and guys looking for ways to refinance themselves out is on the condo side of things, particularly on the inventory side of things, so less relevant to product that's being created. But once the product has been created, there's a pretty healthy bid on the inventory side for guys to take out bridge loans and more attractive inventory financing. But generally speaking in the market, and I'm giving you both a perspective from our business as well as the perspective from our, what we do on the real estate equity side of things. There's not a lot of our in terms of taking a bridge loan from 18 months ago and replacing it with a new bridge loan today and dramatically changing financing.
Jade Ramani: And lastly on leverage, on a common equity basis, I think the ratio is a little higher than what Jay said, it's 1.23 times and just looking back historically, that's kind of the strike zone in which you've issued equity, so I mean, I know that you've run the balance sheet, always at the lower end of the spectrum versus peers on leverage. Is there anything changed there in terms of how you think about target leverage?
Stuart Rothstein: I mean, look, I have to be fair, and I understand the math you're doing with. We do think of the press as equity given that it's permanent capital, so that definitely factors in to our thinking. I think at a high level, not a lot has changed the way we think about it's ultimately driven by opportunity and pipeline as we think about where the balance sheet needs to be and there is a natural trend higher in leverage, just as we do first mortgages, but nothing broadly has changed from a corporate finance perspective.
Operator: And our next question comes from Rick Shane from JPMorgan. Your line is now open.
Rick Shane: Look, I understand that the quarterly fluctuations between subs in first mortgages, is really to your words and function happenstance but I'm curious the competitive dynamics there, obviously, when we look at most of the peers are concentrated on first mortgages - do you run into less competition for subordinates and when you think about terms and risk-adjusted returns. Can you give us some context comparing the two loans, two loan types in this environment?
Stuart Rothstein: Yes, look I think it's a different set of competitors. Look I think generally speaking, what I would say is on the subordinate side you probably run up against more private competition and public competition, but I'd like to tell you, there is no competition anywhere, but the reality is we're in a competitive business and think we've built a platform that can compete very effectively in either side of the business, if you want to divide it between first mortgages and mezz. I think we've always taken the view that if I do a first mortgage and finance away the senior piece under our repurchase facility or I just do a originate a mezzanine loan position. Ultimately if you think about where I am in terms of attachment points and what of earning from an ROE perspective, I mean, a very similar place, there are just differences in the way I'm protecting myself under our senior mortgage with a partner financing the Repo for me and the mezzanine loan, where I mean inter creditor agreement with another senior lender. I think the reality of the marketplace today is what we now call it 10 years into our recovery cycle, I think what we've just seen is a trend in the market over time where, in order to control situations in order to win business lenders in general are more comfortable speaking for the entire capital stack, which means you're ending up winning mandates vis-a-vis the senior loan position in terms of competition and the amount of pure request for mezz have shrunk over time, but we're still from a business perspective, our team broadly is always looking at both opportunities and very comfortable from an attachment point and risk-adjusted ROE perspective in both situations.
Rick Shane: Okay, that's interesting. So you don't really see that there is a relative value arbitrage between the two products at this point.
Stuart Rothstein: No.
Operator: [Operator Instructions] Our next question comes from Ben Zucker from BTIG. Your line is now open.
Ben Zucker: I wanted to start out by saying, congrats on getting the leverage up to 1.0 or 1.2 whatever you call it. I know it's been a goal of yours and it's up a bit year-over-year and it's up more than senior loan growth. So you've done a nice job managing that. It feels like you guys are kind of close to fully deployed, you had a $100 million of cash on the balance sheet and it looks like you're subsequent activity is net deployment. So I guess now that you're not flush with capital and maybe can be a little more choosy your selective with your allocations. What is it that you liking in the market right now, maybe senior versus mezz but also property types or international markets just anything that gets you particularly jazzed up?
Stuart Rothstein: I'll answer the question, two ways and my first part of the answer will be the - as expected sort of commentary that we look at everything from a bottoms-up perspective and really expect deals to stand on their own in sort of don't come in with any frequency notions about what's great, what's not great, we sort of underwrite business plans, underwrite borrowers, and then underwrite what we believe we are getting paid, vis-à-vis the risk we're taking. That being said, certainly it's evident in our portfolio that we have certainly created a lot of traction and momentum in the European side of our business. I think generally speaking, London is about 14% or 15% of our portfolio today and I would say on the back of what we've achieved in London, I would say our pipeline has some interesting broader European opportunities. I'm not sure any of them will get to the finish line, which I think is - standard caveat. But that being said, I think we're seeing some pretty interesting things in Europe overall, and I think we continue to believe that on a risk adjusted basis, you get paid slightly better for your capital in Europe today than you do in the U.S. and there is a positive spread - positive pickup on the hedging side. I think within the U.S., again, I think we continue to be more and more focused on what I would describe as major cities, top MSAs, however you want to describe it. The portfolio is somewhat weighted towards hotel and office and I think that is reflective of what the opportunity set is for those focused on transitional assets today. No bias one way or the other. And in that particular case, it becomes very deal specific very borrowers specific, very business plan specific, but finding some things in both cases that they are interesting and I think as we've said before and I'll say it again, I think in terms of condo exposure where we've certainly I think very effectively been an active player. I think very major MSA focused, I think in terms of our primary exposure, which is in New York, very comfortable with all our credits at this point, but not really actively looking to add to that mix right now. And other than that again comes back to bottoms up deal by deal, trying to find things that are interesting.
Ben Zucker: And then just lastly, and maybe this is higher level. A lot of your peers, kind of always came out as floating rate only lenders and if I recall correctly, it doesn't seem like too many years ago where you guys were pretty balanced with like 50% of the book floating rate 50% fixed rate or something like that and where I'm going with this, is you guys were able to pivot to floating rate ahead of the Fed hikes. And would you be willing, if you had a view on where the Fed was moving to maybe start adding back a fixed-rate loan exposure to kind of switch around your exposure to rates. I'm just kind of wondering how you guys view that because you obviously have the borrower relationships where you were able to source fixed rate loans and still kind of a transitional space?
Stuart Rothstein: We're not averse to fixed rates. So I think the view on fixed rate is always been - if you could fix something in the double-digits. You're sort of in a very comfortable position and unless you think we're going back to the 1970s or low-double digit fixed rate works that being said, if you look back at our book historically most of what was done on the fixed rate side tended to be mezz loans. There's not a lot of asks for fixed rate products today to be perfectly candid. So in some respects the best we could do is the available to the market. I would say in terms of our business, we are a player in the field in the longer-dated, fixed rate market on behalf of our affiliated relationships, which I think you're all aware of - which I do think helps our volume and helps our reputation in the market overall. But generally speaking, those sorts of fixed rates don't work for this vehicle overall, but we're not averse to putting fixed rates. It's just the math needs to work at some level.
Operator: Thank you, sir, I'm showing no further questions. I'd now like to turn the call over to Chief Executive Officer, Stuart Rothstein.
Stuart Rothstein: Thank you, operator and thank you for those participating this morning.
Operator: Thank you, ladies and gentlemen for participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.